Operator: Good day, and welcome to Everpure's Fourth Quarter Fiscal 2026 Financial Results Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I'd like to turn the call over to Paul Ziots, Vice President of Investor Relations. Please go ahead.
Paul Ziots: Thank you. Good afternoon, everyone, and welcome to Everpure's Fourth Quarter Fiscal Year 2026 Earnings Conference Call. On the call, we have Charlie Giancarlo, Chief Executive Officer; Tarek Robbiati, Chief Financial Officer; and Rob Lee, Chief Technology and Growth Officer. Following Charlie's and Tarek's prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. The slides that accompany this webcast can be downloaded at investor.purestorage.com. On this call today, we will make forward-looking statements, which are subject to various risks and uncertainties. These include statements regarding our financial outlook and operations, our strategy, technology and its advantages, our current and new product offerings, supply chain, hyperscaler opportunity and competitive industry and economic trends. Any forward-looking statements that we make are based on facts and assumptions as of today, and we undertake no obligation to update them. Our actual results may differ materially from the results forecasted, and the reported results should not be considered as an indication of future performance. Discussion of some of the risks and uncertainties relating to our business is contained in our filings with the SEC, and we refer you to these public filings. During this call, all financial metrics and associated growth rates are non-GAAP measures other than revenue, remaining performance obligations or RPO, and cash and investments. Reconciliations to the most directly comparable GAAP measures are provided in our earnings press release and slides. This call is being broadcast live on the Everpure Investor Relations website and is being recorded for playback purposes. An archive of the webcast will be available on the IR website and is the property of Everpure. Our first quarter fiscal year 2027 quiet period begins at the close of business, Friday, April 17, 2026. With that, I'll turn it over to Charlie.
Charles Giancarlo: Thank you, Paul. Good afternoon, everyone, and welcome to Everpure's Q4 and Fiscal 2026 Earnings Call. Q4 was an outstanding quarter. Our first billion-dollar revenue quarter capped off a strong performance for FY '26, with full year revenue of $3.7 billion. And we enter FY '27 with strong momentum. Revenue in Q4 was driven by broad-based strength across our business, particularly in Enterprise. We are executing a clear strategy to modernize and simplify data infrastructure for our enterprise and hyperscaler customers amid rising AI demand, power constraints and increasing operational complexity. Our Enterprise Data Cloud architecture continues to strongly resonate with customers, with over 600 customers adopting Fusion since its introduction a year ago. Consistent with our core strategy of investing in data storage as high technology rather than a commodity, Everpure can now support practically all enterprise storage needs and use cases with our unified Purity operating environment and our Evergreen hardware platform. Purity, enhanced with Fusion, now adds a unified control plane to its unified data plane, and enables customers to manage their global data as their own enterprise data cloud with consistent enterprise policies implemented in software. The focused investment in our enterprise business is translating into accelerating demand and growth. Our Purity software, DirectFlash architecture, and Evergreen promise, have proven their flexibility and universality by extending smoothly into our FlashBlade//EXA offering. As a reminder, FlashBlade//EXA supports AI-scale workloads at industry-leading performance and efficiency. FlashBlade//EXA has achieved industry-leading MLPerf benchmark performance and recently published the highest results in the SPECstorage AI Image benchmark. This past quarter, in a strong competitive context, we secured our first EXA customer and are in advanced stage discussions with dozens more. Our hyperscale business grew beyond our expectations in FY '26. We have broadened and expanded our solution and we've standardized on our financial structure, which Tarek will detail later. Entering FY '27, we expect continued growth in our hyperscale solutions concentrated in the second half of our year, which is also incorporated in our guidance. This broad and increasing momentum is reflected in our strong FY '27 revenue guidance of almost 19% year-over-year growth at the midpoint which Tarek will also discuss in more detail. As I stated earlier, Everpure has now reached a point where we can support the full spectrum of our customers' data storage needs, from high performance to low cost, from tens of terabytes to tens of exabytes, from AI to backup and all protocols, including block, file and object. We support all customer use cases including all databases, all virtualization, containers, file systems, object systems and Kubernetes. We deliver all of this through a single software operating environment combined with our DirectFlash technology and our unique Evergreen architecture and business model. Today, they ensure our customers always have access to the latest technology. This set of capabilities has been developed because Everpure alone has invested in data storage and management and high technology rather than as a commodity. We now invest more R&D in data storage and management than any other competitors. Our continuing investment in innovation is increasingly focused on enabling our customers to better control and make use of their data for AI and analytics. We released our latest audited Net Promoter Score, which is the gold standard for customer loyalty and satisfaction. We achieved an industry high NPS of 84 for calendar 2025. While much of the industry remains with scores in the 30s, we have maintained a score above 80 for more than a decade, while increasing our customer base to over 14,500. This is yet one more reason why we continue to outperform all other competitors in the market. We have developed a strong brand that is well known for quality, consistent innovation and strong customer care. Our position has strengthened to where we are now gaining franchise customers who put their trust in us to standardize their IT architecture on our platform for a majority of their storage infrastructure. We are now in a position to not only help our customers automate their data storage, but increasingly to enable them to better manage their global enterprise data. With Fusion and our Enterprise Data Cloud architecture, customers can apply policy-driven governance across workloads, moving beyond traditional storage to standardize, protect and intelligently manage their data sets. This represents a meaningful evolution from infrastructure management to comprehensive data governance. Earlier this week, we announced a definitive agreement to acquire 1touch, which will accelerate our ability to help customers unlock the strategic value of their data and make it ready for AI. 1touch's technology delivers discovery, classification, governance, cyber resilience, data sovereignty and context to prepare data for AI and serve as a critical foundation for the Enterprise Data Cloud and enterprise-scale AI deployment. Our rebranding and name change reflect our growth from operational storage to intelligent data management, empowering customers to extract greater value from their data in an increasingly AI-driven world. Our new name Everpure, reflects both what we have created and where we are going. We are expanding our brand to align with our expanded horizon and to attract a much broader set of strategic personas. We are entering FY '27 with strong momentum, and we expect continued growth across all 4 products and sectors. These include commercial, enterprise, government and hyperscaler, our U.S. and international theaters and our systems, software products and services such as Evergreen subscriptions. Turning to the broader environment, we expect macroeconomic uncertainty to persist through the coming year. Strong component demand, driven by tech titan AI buildouts as outstripped supply across the industry, dramatically increasing NAND, memory and CPU pricing. We expect that the industry, including Everpure, will see unpredictable component shortages, which could lead to extended lead times and potential shipment delays. As we have identified in previous calls, we have highly distributed and resilient supply chain and have weathered past supply chain disruptions well. Supply chain constraints are operating as both a tailwind and a headwind in our hyperscale discussions. A bit of a tailwind as hyperscalers are more eager to accelerate their testing and certification of new sources of supply and as a headwind to every vendor's ability to source the necessary components. Everpure raised prices on our product line on February 9, reflecting the dramatic and rapid rise in component prices. I believe we were the last in our industry to raise prices and I also believe that our increase was the lowest in the industry to protect our customers. Based on the extraordinary rapid rise in component costs, we expect product gross margins in Q1 to be at the lower end of our typical range of 65% to 70%, but we also expect them to recover through the fiscal year. We have built a diversified supply chain with contingency plans to reduce disruption risk even as the industry faces shortages. Our long-standing and direct component supplier relationships and in-house hardware design provides us additional flexibility in addressing supply chain disruption. Our Evergreen model provides transparent pricing that protects customer economics. In addition, with our continuous improvements in performance and capabilities entitled in Evergreen, existing customers will benefit from our new data reduction software. This recent release of Purity Enhanced Data Reduction offsets our higher pricing by providing a cost per effective terabyte that is lower than our previous prices on some workloads. We are at a very exciting time in the story of our company, Everpure. We can now compete for all of our customer storage infrastructure. We provide the world's most consistent, comprehensive and reliable data storage environment. Our Enterprise Data Cloud architecture will allow customers to more efficiently manage their global data, and we are now creating the technologies that will allow our customers to more easily prepare their data for their AI future. Our focus on investing in data storage and management as high technology is driving the accelerated growth that we see today. With that, I'll invite Tarek to provide further details.
Tarek Robbiati: Thank you, Charlie. We closed the year on a high note, with Q4 revenue surpassing $1 billion for the first time, representing 20% year-over-year growth and record operating profit of $226 million, implying a strong operating margin of 21.3%. Our performance in Q4 was broad-based, with particular strength in the enterprise. We increased the number of customers transacting during the quarter and delivered solid performance in large-scale transactions with deals over $5 million growing 80% year-over-year. This performance was supplemented by accelerated growth in the government sector, along with several notable Enterprise Data Cloud platform wins. We also secured the first sales of FlashBlade//EXA, signaling positive initial market interest and demand for this new offering designed for large-scale artificial intelligence and high-performance computing workloads. Moreover, we expanded our footprint with our existing hyperscale customer, delivering strong growth in our hyperscale business for the year, ahead of our initial expectations. We are confident in the sustained momentum of our hyperscale business. More on hyperscalers and our year-end performance later. But before we get into that, earlier this week, we made 2 key announcements for the company, including our intent to acquire 1touch, a leader in AI-driven contextual data intelligence. 1touch delivers top-down, automatically discovered and enriched contextual view of data across the data center, cloud and edge. This critical software capability enables our customers to better understand the meaning of their data and unlock its strategic value through AI and other applications. In turn, the acquisition of 1touch will further differentiate Everpure by allowing us to embed unique data management capabilities into our core Purity software offerings. Founded in late 2017, 1touch has a financial profile of a fast-growing company that is investing heavily to gain traction in the market. Unsurprisingly, it is not yet profitable. We expect 1touch to be 1.5% dilutive to operating profit in fiscal year '27 and to become accretive to operating profit within 24 months from the acquisition on a post-synergy basis. As a company, we are expanding beyond being a storage provider to becoming a comprehensive data infrastructure and data intelligence platform. We are transitioning from simply delivering storage solutions to redefining data management at a global scale. Our new name, Everpure, reflects this transformation and captures our new identity as a full-scale data intelligence company. To conclude, we are uniquely positioned to address the full spectrum of our customers' needs and to compete for large strategic enterprise franchise opportunities, supported by our newly expanded AI-enabling platform. Now let's deep dive into the details of our fiscal year '26 performance and subsequently discuss our outlook for fiscal year '27. Q4 product revenue of $618 million grew 25% year-over-year, while fiscal year '26 product revenue of $1.97 billion grew 16% year-over-year. As a reminder, our product revenue category now includes revenues that we receive from hyperscale shipments as well as a portion of Portworx software revenue when sold as term licenses. Q4 subscription revenue of $440 million grew 14% year-over-year, while fiscal year '26 subscription revenue of $1.69 billion grew 15% year-over-year. Q4 Total Contract Value sales for our Storage-as-a-Service offerings grew 28% year-over-year to $179 million, driven by high-velocity transactions of less than $5 million. For fiscal year '26, TCV sales grew 32%, totaling $520 million for the year. This significant year-over-year growth momentum reflects the increasing adoption by our customers of Evergreen//One and other subscription-based offerings, which deliver a consistent, nondisruptive operating and management environment. In fiscal year '26, total revenue grew 16% to $3.7 billion. We also delivered our highest annual operating profit of $635 million, an implied operating margin of 17.3%. Turning to gross margins. In Q4, total gross margin was 71.4%, supported by a robust subscription services margin of 77%, while product gross margin stood at 67.3%, an increase of over 400 basis points year-over-year, driven by a favorable product mix. It is important to note that sequentially, our product gross margin in Q4 was lower than in Q3 '26 as we had lower hyperscale shipments and Portworx license shipments in Q4 relative to Q3. I would like to remind everyone that these sales are lumpy in nature. In addition, the sequential change in product gross margin reflects changes in customer and product mix during the quarter. The variance also includes a modest impact in the quarter from increasing component costs, which prompted pricing actions taken early February '26. For fiscal year '26, total gross margin was 72.1%, an increase from 71.8% in fiscal year '25. As industry-wide AI-driven infrastructure demand continues to outpace supply, driving higher input costs, we expect continued component price volatility across the storage industry as well as extended lead times and potential shipment delays. As a result and as Charlie mentioned, we implemented price increases across our product portfolio on February 9, 2026. It is important to remember that while we maintain long-standing supply agreements with our NAND suppliers, these agreements help mitigate but do not eliminate significant input cost swings and potential shortages. As we mentioned in the past, historically, component cost volatility has had a greater impact on our top line and on margins. When component costs such as NAND rise, the industry typically sees higher pricing as competitors face similar input cost pressures. This dynamic supports improved pricing discipline and can act as a tailwind to revenue over the medium term with some short-term pressure on gross margin as prices catch up to extraordinarily rapid cost increases. We remain committed to treating our customers fairly and will not engage in price gouging or take undue advantage of the current market dynamics. Moving on to our subscription business. Q4 subscription services revenue of $440 million increased 14% year-over-year, accounting for 42% of total revenue. ARR grew 16% to $1.9 billion. I am particularly pleased with the results of our remaining performance obligations, or RPO, which accelerated to 40% growth in Q4, driven by the execution of large deals and strength of our Evergreen//Forever and Evergreen//One offerings. Notably, our RPO pertaining to our subscription services offerings grew 34% exiting Q4. Turning on to revenue by geography. In Q4, U.S. revenue grew 9% to $674 million, while international revenue increased 48% year-over-year to $385 million. International revenue represented 36% of total revenue. The continued expansion of our international footprint remains a significant opportunity and a key strategic focus for the company. For fiscal year '26, U.S. revenue grew 12% and international revenue increased 25%. In fiscal year '26, we expanded our customer base by more than 1,100 new customers, including 335 in Q4 alone, reflecting continued momentum throughout the year. Our penetration of the Fortune 500 now stands at 64%. With respect to our organization, in Q4, our head count increased sequentially by 166 employees, bringing our total head count to 6,400 employees at year-end. Our balance sheet remains robust with over $1.5 billion in cash and investments at the end of the year. Cash flow from operations in Q4 was $268 million and $880 million for the year. Capital expenditures during the year were $264 million, representing approximately 7.2% of revenue for fiscal year '26. Our capital investments during the year supported data center expansion, the increased testing of new products and solutions, the scaling of our hyperscale business as well as the funding of initiatives aimed at accelerating Evergreen//One subscription growth. Free cash flow for Q4 was $201 million and $616 million for the year. Free cash flow margin for the year was 16.8%, tracking our operating profit margins of 17.3%. In Q4, we repurchased 1.7 million shares, returning approximately $127 million to shareholders. For fiscal year '26, share repurchases totaled $343 million or 5.6 million shares. For fiscal year '26, 56% of free cash flow was utilized for stock repurchases. In addition, we paid $68 million in withholding taxes on employee awards in Q4, offsetting dilution by approximately 1 million shares and $271 million for fiscal year '26, offsetting about 4 million shares. We currently have about $329 million remaining under our existing $400 million repurchase authorization announced in Q4 '26. Now turning to our guidance for fiscal year '27. As Charlie remarked earlier, unprecedented component demand driven by AI buildouts has outstripped supply across the industry. At this stage, the duration of the demand-supply imbalance and related risks to the industry are hard to predict. Needless to say, we are actively working with our suppliers to mitigate these risks and navigate this period of uncertainty. For Q1, we anticipate revenue to be in the range of $990 million to $1.01 billion, representing approximately a 28% increase year-over-year at the midpoint. We expect operating profit to be in the range of $125 million to $135 million, representing approximately a 57% increase year-over-year at the midpoint. For fiscal year '27, we anticipate revenue to be in the range of $4.3 billion to $4.4 billion, representing an 18.8% year-over-year increase at the midpoint. We expect operating profit to be in the range of $780 million to $820 million, representing approximately a 26% year-over-year increase at the midpoint. In terms of seasonality, we're entering fiscal year '27 with very strong momentum and expect 47% of our revenues to be generated in H1 of fiscal year '27, which represents a 2% improvement year-on-year. Let me finish by adding more color about the factors that underpin our guidance for fiscal year '27. First and foremost, and specifically for our hyperscaler business, I would like to remind everyone that we started ramping our hyperscaler line of business in fiscal year '26 and feel very confident about the future of our business for years to come. We expect to significantly accelerate shipments and revenues in fiscal year '27 relative to fiscal year '26. This momentum is reflected in our strong fiscal year '27 guidance. As a reminder, hyperscaler revenues are governed by the schedule of hyperscalers data center buildouts and are not linear during the course of the year. For fiscal year '27, we expect the majority of revenue from hyperscalers to be recognized in Q3 and Q4. Also, we have now standardized our business model to cater for the hyperscaler market. Moving forward, we will procure some of the components that are needed by hyperscalers to build their solution in their environment, but not the NAND. Hyperscalers will continue to procure the NAND through their supply chain. As a result, we expect gross margins of hyperscaler revenues to range between 75% to 85%, a level accretive to product revenue gross margins and overall company gross margins. For Q1, we expect product revenue gross margins, excluding hyperscaler gross margins to be at the lower end of our typical range of 65% to 70%, reflecting the impact of unprecedented and sudden increases in NAND and other component pricing. As we move through the fiscal year, we anticipate gross product margins will recover. Second, and in line with prior commentary, we will continue to invest in R&D and sales and marketing to fuel growth in our core and establish our brand and these investments are factored into our operating profit guidance. In terms of our fiscal year '27 operating profit guidance, and as mentioned earlier, we are absorbing a 1.5% dilution to our operating profit for the year from the acquisition of 1touch. Yet we continue to be laser-focused on accelerating growth and building operating leverage as our guidance attests. With that, I'll now turn the call back to Paul for Q&A.
Paul Ziots: Thanks, Tarek. [Operator Instructions]Operator, let's get started.
Operator: [Operator Instructions] Our first question comes from Amit Daryanani from Evercore ISI.
Amit Daryanani: I guess maybe my question really is around the fact that you folks have had some really impressive results right now, given all the fixation everyone has on memory. Charlie, perhaps you can just help put in context the acceleration in revenue growth we're seeing in Q1 and really fiscal '27. How much of that is really coming from your ability to pass on the memory price increases to your customers versus perhaps you're just seeing a step-up in demand, especially if you think about customers at this point, perhaps need to find a way to improve the utilization rate of flash, which seems to be going up in price a lot. It seems like Pure is uniquely positioned to help provide a solution here. So just on kind of what's driving the growth and just flesh out how much of it is surprising versus customer step-up in demand?
Charles Giancarlo: Yes. Absolutely. Well, I can certainly assure everyone that Q4 in particular and Q1 is really all demand-based because, first of all, we took no pricing action in Q4. Furthermore, most of our proposals and bids that go out, go out with the 90-day pricing. In other words, we put out a proposal, customer has 90 days to accept or not. So those price -- a lot of that -- of Q1 shipments will be based on Q4 wins, of course, and that will be based on our old pricing. So most of this new pricing that we put out earlier this month won't really hit until our Q2. So therefore, both our guidance, if you will, for Q1 as well as our print for Q4, really all demand-based. And that's one of the things that gets us very excited as we go forward, of course.
Operator: Our next question comes from Aaron Rakers from Wells Fargo.
Aaron Rakers: I guess I wanted to maybe double-click on the breadth of what you're seeing in hyperscale opportunities. I know you talked about more of a weighted towards the second half as far as a ramp. But as we think about the changes you're making in procurement, the gross margin expectations, I'm curious if we could read into that at all of kind of the opportunities maybe expanding into additional hyperscalers through this year or any progression you've had with the engagements with other opportunities?
Charles Giancarlo: Yes. Look, we are seeing increased activity. And as I sort of alluded to in my opening remarks, the level of activity is going up -- well, the amount of activity and the breadth of the activity, both are going up. Now we have said before and we'll say again that until we have another one to announce, we're still in the fight and not yet at the finish line. And you might say, well, it's a bit later than we expected. And I would say that's true. What I would say is that advancement continues and becomes broader as we go along. A lot of this is very dependent on the hyperscalers' own testing and development plans. But what we're seeing is wider interest, broader engagement and wider engagement.
Operator: Our next question comes from Howard Ma from Guggenheim Securities.
Howard Ma: Great. And congratulations on the strong financial performance and also the rebranding efforts. So either for Charlie or for Tarek, when I look into the qualitative commentary about higher pricing serving as a potential revenue tailwind, the momentum in EXA sales and maybe even initial shipments to a second hyperscaler as Charlie you just alluded to, it would suggest that you exit FY '27 on a high note. But when I look at the full year revenue guidance, I believe it implies that growth would decelerate to 13% to 14% in the back half. And I understand the back half comps are tougher, but you also are talking to higher hyperscaler shipments in the back half. So my question is, does the guidance factor in accelerated enterprise demand in Q1 that could come at the expense of future quarters? Or are you intentionally haircutting your assumptions, pipeline close rates more than normal to account for the uncertain environment?
Tarek Robbiati: Howard, thanks for the question. It's Tarek. I would say to you, we ended up fiscal year '26 and Q4 in particular, with a very, very strong performance. Linearity in Q4 was very much back-end ended in the quarter, which as a result, leads us to have a very strong Q1 guidance. And if you really look at the difference in growth rates between the Q4 attained growth rates of 20% and what we're guiding at about 26% at the midpoint for Q1, that shows you that we have a very strong momentum carried from fiscal year '26 to fiscal year '27. And so the rest of the fiscal year '27 is in line with our internal expectations. And this is why in my script I highlighted that seasonality H1 versus H2 revenue seasonality is more weighted towards H1 this year as a result of the strong finish in fiscal year '26.
Operator: Our next question comes from Mike Cikos from Needham & Company.
Michael Cikos: I just wanted to cycle back. So first, congratulations on the EXA customer win that you had cited. I know that you also discussed how you're in advanced stages with dozens more at this point. Can you just walk us through what that EXA customer win actually looks like, how that sales cycle unfolded? What were some of the key points around that win? And then I know it's an earlier offering, but where are we in establishing, I don't know if you want to call it your customer testimonials or playbook to make this a repeatable process on your side?
Robert Lee: Yes. Thanks for the question, Mike. This is Rob. I'll take that one. Yes. So really happy to see the initial customer win actually multiple sales of EXA in the quarter. As you mentioned, it's a newer offering, which we went generally available with, I believe, at the end of Q2 or beginning of Q3. And we've seen really since launching the offering at last year's GTC conference in March, really strong initial demand. With this particular GPU cloud customer, the nature of the win and how we got there, frankly, this customer was looking to stand up storage to provide for their end customers' training and inference workload environments. They had actually gone down the path of initially selecting an alternate vendor. They engaged with us, did a performance test, were frankly blown away with the performance and turned around and placed an order that within a couple of days. That subsequently led to follow-on orders as they were able to deploy that, get it into production quickly and really light up their end customer footprint. As Charlie mentioned in his prepared remarks, we're in various stages and some advanced stage discussions with dozens of other customers. If I step back from it, I would say that EXA really is filling a market gap and a market need of covering both off on the high performance that's truly demanded of these environments. But also at the same time, providing for the reliability, the usability, all of the manageability aspects and simplicity that Everpure is known for.
Operator: Our next question comes from Samik Chatterjee from JPMorgan.
Samik Chatterjee: My question was on the product gross margin. And you have maybe more on what's driving the confidence in guiding to the trough margins being in Q4 into Q1 and then steadily through the year. How much of the underlying commodity that you need for your full year guide do you have visibility into already in terms of locking in through either LTAs or contracts with your suppliers? And are you able to lock in pricing to the extent that's driving the confidence. Would want to understand sort of the underlying sort of drivers there as much as possible.
Charles Giancarlo: Yes. Samik, thank you for the question. It's a -- let me try to make the answer as straightforward as possible. Our gross margins tend to be relatively steady with respect to cost changes in the supply chain. That holds true when cost changes are relatively gradual. The cost changes that have taken place literally over the last 4 months have been anything but gradual. They were very rapid. And what that does is it breaks the synchronization between our pricing, which generally has, as I said, about 3 months or more time in the market and our ability to fulfil that pricing with costs because the costs have very dramatically increased in a shorter period of time. So we believe that we can get back to our standard gross margins as the pricing stabilizes. Stabilizes doesn't necessarily mean stay steady, but it means that it doesn't change by the significant factors that has changed over the last several months. Visibility is a very different thing. I think visibility is just non-existent. The prices have been changing so rapidly, and the market is so dynamic, whether it's visibility or contracts, frankly, at this point in time, there's very little.
Operator: Our next question comes from James Fish from Piper Sandler.
James Fish: I appreciate the time here. I'm sorry, jumping between calls. Just trying to understand how much of a pass-through the flash you have in sort of your BOM here? Are you passing on in that price increase versus eating? And what was the price increase magnitude that you guys actually instilled on February 9 there across the business, understanding flash as a percentage of the business can range pretty drastically across each of the products.
Charles Giancarlo: Yes. Well, first of all, flash -- it's not just flash, all the components, memory is very well publicized, but even GPUs. Those components are both in short supply and prices are very dynamic, I would say, right now. On average, they've more than doubled over the last 6 months. So think about that. That is a very big change. We think the pricing will address the increases that we've seen so far. That pricing increase was on average -- about average 20%. Now when I say average, it's very different on different product lines for the reasons that you mentioned, different amounts of componentry costs associated with each different size NAND. But frankly, a lot of the controllers, of course, have a lot of memory in it as well. So it's a complicated formula, but on average, about 20%. And as I stated, I believe actually, first of all, we were, I think, the last to announce a price increase. And from all the price increases that I've heard from our competitors, I believe ours was the lowest.
Operator: Our next question comes from Simon Leopold from Raymond James.
Simon Leopold: I appreciate the breadcrumbs you've given us on the royalty business here, some of the shifts. So it sounds like the messages are around lumpiness and a back half load to the current fiscal year. But what I didn't hear you update was the prior commentary about expecting double-digit exabytes this fiscal year. And I appreciate double-digit could be 10 to 99. So can you put a finer point? My sense is you feel better about the outlook, but I want to check in.
Charles Giancarlo: Right. So a previous commentary quarters ago were that we expected low double digits in this year. And I can confirm that will probably be the same, but more than what we expected, more than the amount that we had expected when we gave that commentary last year.
Operator: Our next question comes from Wamsi Mohan from Bank of America.
Wamsi Mohan: I appreciate all the color around pricing and memory. I guess, Charlie, would love to get your perspective on what you're seeing from a customer behavior standpoint? Given you just mentioned that the environment for supply is actually quite unpredictable. Do you think that you saw any pull forward of demand? I mean you're also saying first half is going to be stronger. Your pricing doesn't really get impacted as much in the first quarter, clearly, maybe even not so much in second quarter. So to some degree, like the pricing is yet to happen, but you're seeing a significant uptick in demand. And second half, you're expecting hyperscaler revenues, including hyperscaler revenues to still be more -- less weighted than typical in second half. So just curious if the purchasing behavior that you're seeing in your customer conversations are indicating any pull forward or any level of maybe demand destruction for the industry, maybe not for you, but demand destruction for the industry given some of these unprecedented price changes.
Charles Giancarlo: Well, I think we're seeing several things. One is, we are seeing increased demand for our product. Win rates, size of the wins are increasing. So we believe we continue to pick up share in a meaningful way. As I mentioned in my script, what were -- what might be called franchise deals, and I'll explain that in a second, those are going up. And what we mean by a franchise deal, the customer is not talking to us about or the conversations that are not just about this workload or this new opportunity, but pure, let's have an enterprise scale discussion about you becoming our 1 of 2 or even our sole storage strategic partner, those are going up, right? So the quality of the conversations are increasing. And of course, when you do that, the pricing is not a transactional pricing. It really is about building a relationship and a structure that works well for both us and for the customer overall. So we're seeing demand increase I'm going to leave the quantification, if you will, of pull-ins, but what I would say is that customers certainly are -- they have a lot of projects that they need us for. Generally, when prices -- when costs went down and prices went down, they bought more, but not enough to offset the price decrease. We expect the inverse now. We expect there to be, in fact, some elasticity reduction, that is negative elasticity, but probably not enough to overcome the price increases that are occurring across the industry. So we do expect it to -- generally, the market dynamics to be such that it increases somewhat the total market. And then...
Tarek Robbiati: Yes. Let me elaborate on what Charlie has said, Wamsi. It's Tarek. First of all, I want to reemphasize the fact that we have had a number of very large deals that we booked in Q4. Like I said in my remarks, deals of value that is in excess of $5 million increased 80% year-over-year, which is a very good result from my perspective. We finished Q4 extremely strong. Linearity was towards the end of the quarter. And the timing of it has to do a lot with the frenzy of price increases that the entire industry had to make to adjust for the sudden and rapid rise in underlying input costs. And so that's, in itself, yes, you're correct, there is an element of pull-ins. But the amount of pull-ins, I would say, is not a substantial amount that underpins our Q4 performance. It more underpins, per my answer in the prior question earlier, the growth rate in Q1. And if you want to quantify that, it's probably a mid-single digit in the growth rate that we have guided for Q1 fiscal year '27. Finally, I would say that we're seeing very strong demand in our Evergreen//One offers. And if you really look at our performance measured in terms of RPO increase, our RPO has increased 40% in Q4, which really a test of the validity of the model and the fact that in uncertain times, customers tend to turn to solutions like Evergreen//One for their needs.
Operator: Our next question comes from Erik Woodring from Morgan Stanley.
Erik Woodring: Tarek, I just -- given the comments you guys were making to Samik earlier just about kind of volatile pricing, uncertain supply, elongated lead times. And then I guess, potentially the risk of any demand destruction depending on what your customers do or how the industry is forced to raise prices in the second half. Can you just help us better understand kind of the philosophy or the approach you took behind setting your full year guidance, just given all of these relative unknowns, especially as we look into the second half of the year?
Tarek Robbiati: Sure. So as always, our guide is determined by the level of demand and deals that we see in the pipeline. So our guide reflects the strength of the pipeline that we have and visibility of the demand that we have looking forward. We feel very good about the visibility of that demand for the next couple of quarters. Beyond that point, it's hard to ascertain. And we also have factored into our guidance, obviously, the price increases that we have made. Those price increases were timed well, I would say, because we effected them on February 9, which gives us pretty much the benefit for the full year. And we went very surgically around adjusting our prices, knowing that we have had a pretty strong benefit coming from Enhanced Data Reduction, so that we make sure that whatever price increases we put forward still provides value to our customers. And thirdly, of course, our guidance factors in the benefits from our hyperscaler business, which is going to be accounting for a lot of the growth in fiscal year '27. And like I said in my opening remarks, the hyperscaler business revenue is not linear during the fiscal year. It tends to be governed by the schedule of the data center buildouts. And in this case, we expect the vast majority of the hyperscaler revenue to come in Q3 and Q4 of fiscal year '27.
Operator: Our next question comes from Param Singh from Oppenheimer.
Paramveer Singh: It's interesting to me to see how you're moving up the software stack, particularly with the acquisition of 1touch. Maybe you can talk more about your thought process here and what else may be required from either an organic or inorganic investment to increase the value proposition for customers, particularly for AI workloads.
Charles Giancarlo: You bet. So -- and some of this is outlined a bit in our presentation that has come along with the earnings announcement. The way we look at it is the following. Customers today, actually, generally, they manage their applications and their applications manage the data that's associated with that application. The customers and many customers don't actually manage the data itself. And that -- if they do, it's all with people, human middleware. What we've created with Fusion and the Enterprise Data Cloud is the opportunity for data sets that is the same data that's used in different places at different times for different purposes to be managed as data. That is to be managed on a global basis, to be managed by policies that customers set in software and then the data is managed as such. So instead of managing storage, they're managing data. What we're doing with 1touch now is we will be able to add the ability to provide context around the data. When -- there is the shorthand that we speak about a when we talk about AI using data, doesn't really use data. It uses data that's been highly transformed into information that is self-describing so that AI can use it. That process of going from data to self-describing information is done with a lot of work by companies. Companies have to use extensive ETL tools. They have to use a lot of human labor to restructure the data so that it can be used by AI. We believe that a lot of this work can be done in the operational environment that is with additional capability that we build adding not just to our customers' data, whether it's on our product in the SaaS environment, on the cloud or even on third-party product and add that context to the data where it lives, and really just make it a lot easier for AI to be able to use data on a real-time basis. And Rob, do you want to add to that?
Robert Lee: Yes. Just to add to what Charlie said. I think we -- as Charlie mentioned, we've been expanding from our roots in data infrastructure through to data management, bringing the cloud operating model into the enterprise data center with Fusion and so on and so forth. This next leg of our enterprise data cloud vision really is strongly supported by 1touch and the strategic fit is quite exceptional. 1touch is bringing in critical capabilities to go and advance that vision road map, capabilities in the areas of data discovery, data classification, really being able to understand the semantic meaning of data that Charlie -- as Charlie was just outlining. In short, if I step back from it and I look at our portfolio evolution and where we have grown from our roots in data infrastructure to Fusion to Enterprise Data Cloud over the last couple of years and where we're headed. I would say that with Fusion, we really started making data infrastructure AI-ready, really being able to connect all the different silos in the data center and then this next leg with 1touch. Integrating that technology is really going to go serve to help customers make their data itself secure an AI ready.
Operator: Our next question comes from Krish Sankar from TD Cowen.
Sreekrishnan Sankarnarayanan: Yes, I have a question for Tarek. Very impressive growth in RPO sequentially. And I'm just wondering, are hyperscale revenues included in that? And how much of the $700 million of sequential growth is from hyperscalers?
Tarek Robbiati: Well, the answer, Krish, is none because hyperscalers revenue is recognized in product revenue, it's not part of -- it's not ratable. And we do not include it in the remaining performance obligation.
Operator: Our next question comes from Asiya Merchant from Citigroup.
Asiya Merchant: Good job on the name change as well. Just -- you talked a little bit about the hyperscaler opportunity, low double-digit exabytes that was talked about earlier. Just if you can give us any update on now that you have a more structured model in how you're approaching these hyperscaler deals, if there's any update on the progress beyond the first hyperscaler announcement? And related to that, the investments that you're making exploring those opportunities, what specific -- if you could drill a little bit deeper into what sort of investments are those? What are you looking to expand? Are those more related to product or with the nature of those investments, that would be great.
Charles Giancarlo: Thank you, Asiya. Of course, this is a difficult area for us to chat about for lots of different reasons. But what I would say is that we are in engineering test environments in multiples of the hyperscalers now, and they're proceeding well. But it still takes more time before we know whether or not we are certified or whether there is a specific date by which they plan to use us on buildouts. So until we can get to that level of certainty, we just have to leave it there, really.
Robert Lee: And then on the nature of the investments, I wouldn't call out any change in what we've described before, primarily looking at continuing to help our hyperscaler customers grow and scale, R&D to go support that as well as scaling the supply chain to support that.
Operator: Our next question comes from Tim Long from Barclays.
Timothy Long: Yes, maybe for Tarek, just wanted to touch on something on the subscription services side of the business. You guys saw a really nice rebound in the TCV business in fiscal '26, a nice acceleration. At the same time, we're kind of seeing a deceleration on just the overall subscription services revenue number compared to the prior year. Just curious, is this just timing? Is this related to maybe the impact of the non-TCV business where product sales were lighter in '24 and '25. Or is there something else going on where we're not seeing those 2 kinds of metrics tracking a little bit more closely together and kind of how do we think about that going forward?
Tarek Robbiati: Yes. Thanks, Tim, for the question. I think you need to look at subscription services revenue growth in conjunction with the RPO growth. It's really important to look at them together. The RPO growth is really the best measure of latent revenue and momentum that we have in the business. What is interesting is that this is the first time where we are lapping the introduction of Evergreen, and we are renewing a lot of those Evergreen contracts, which is really good. Some of those renewals are longer term than what we originally anticipated. It's good for us to drive longer-term renewals. It's the test of the validity of the model. And that elongation of the renewals is what goes into the RPO. And this is why the ARR, for example, is growing at 16% and the RPO is growing at 40%. And that explains why you're asking your question and you're looking at it as a deceleration from FY '25 to FY '26 in terms of growth rates. And you're right, it's 22% in '25 and 15% in '26. But again, the reason is we are shifting to longer-term contracts. That is the main reason. And the RPO, a test of the performance of our subscription business.
Paul Ziots: Looks like we have time for one more question. So the next question will be the last question.
Operator: Our last question comes from Max Michaelis from Lake Street Capital Markets.
Maxwell Michaelis: You guys shifted away from primarily operational storage and more into the data management space. I mean how does this rework your competition landscape? I mean previous partnerships may now be bumping up against them in terms of competition. So I guess if you can just kind of give us an idea on how that changes the competition landscape for you guys.
Charles Giancarlo: Sure. Thanks, Max. I want to be clear, we're not shifting away from storage. We are definitely not shifting away from storage. We are adding -- yes, we are absolutely adding data management. So we actually believe, in some ways, this is a new area. Now it's certainly true that this space was filled by ETL software and systems and a lot of human labor in our customer base. But the entire ETL segment is being disrupted by AI as it is. So that's an area, not only in disruption, but an area that's ripe, I think, in terms of opportunity, of instead of completely separating out systems of operation, operational systems, which is what a lot of our data storage gets sold into and then systems of information, which is other storage and other compute that is completely dedicated to actually analytics and/or AI. And these are just 2 completely different environments. You might ask, well, why replicate all of your data away from the operational system into a system of information that has to go through a lot of ETL and a lot of transformation before it can be used. Why not have the data that's sitting in the repository of -- in the operational repository, why not have that be more ready to be used by AI, in which case, it's much more real time, it's much more valuable and it can be managed along with the foundational data itself on a global basis nearby policy rather than I've mentioned in the past, by human middleware and fingers on keyboards. So we think this is a new opportunity. It's a new architecture, if you will, for how data is managed in the enterprise, and we think it really sets us up in a unique place.
Robert Lee: And Max, this is Rob. Just to add one thing to what Charlie said, which I think was the other part of your question, looking to understand how does this fit into our partnership landscape. As we mentioned before, 1touch provides critical capabilities that we see longer-term applications for, as Charlie outlined, to really broaden and enhance the ways that customers are making their data AI-ready. That said, these capabilities are today offered as a DSPM platform. DSPM or data security posture management is an important tool. It helps customers make their data more secure. But at the same time, we rely on a strong ecosystem of partners to provide a much more holistic set of security capabilities and fully intend to keep working with those partners on our customers' behalf.
Paul Ziots: Before we conclude, I think Charlie has some final comments.
Charles Giancarlo: Yes. Thank you, Paul. And I want to thank all of you for joining our call today. We know there were many other calls out there, some, very large. We're entering a new chapter in our company's journey, and I'm proud of the progress that we've made and the momentum that we're seeing right now. I want to thank our customers, our investors, our employees, our partners, our suppliers for their trust and partnership, and we look forward to building on this momentum this coming year. Thank you all.
Operator: That concludes the Everpure Fourth Quarter Fiscal 2026 Financial Results Conference Call. Thank you for your participation. You may now disconnect your lines.